Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q2 2021 Lincoln Educational Services Earnings Conference Call.  As a reminder, this conference is being recorded. I would now like to turn the call over to Mr. Michael Polyviou. Please go ahead, sir.
Michael Polyviou: Thank you, Tiffany and good morning everyone. Before the market opened today, Lincoln Educational Services issued its news release reporting financial results for the second quarter ended June 30, 2021. The release is available on the Investor Relations portion of the company’s corporate website at www.lincolntech.edu. Joining us today on the call are Scott Shaw, President and CEO and Brian Meyers, Chief Financial Officer. Today’s call is being webcast live on the company’s website and a replay of the call will be archived on the company’s website. Statements made by Lincoln’s management on today’s call regarding the company’s business that are not historical facts maybe forward-looking statements as the term is identified in federal securities laws. The words may, will, expect, believe, anticipate, project, plan, intend, estimate and continue as well as similar expressions are intended to identify forward-looking statements or statements should not be read as a guarantee of future performance or results. The company cautions you that these statements reflect current expectations about the company’s future performance or events are subject to a number of uncertainties, risks and other influences, many of which are beyond the company’s control that may influence the accuracy of the statements and the projections upon which the segment and statements are based. Factors that may affect the company’s results include, but are not limited to the risks and uncertainties discussed in the Risk Factors section of the annual report on Form 10-K and quarterly report on Form 10-Q filed with the Securities and Exchange Commission. Forward-looking statements are based on the information available at the time those statements are made and management’s good faith belief as of the time with respect to future events. All forward-looking statements are qualified in their entirety by this cautionary statement, and Lincoln undertakes no obligation to publicly revise or update any forward-looking statements whether as a result of new information, future events or otherwise after the date thereof. Now, I would like to turn the call over to Scott Shaw, President and CEO of Lincoln Educational Services. Scott, please go ahead.
Scott Shaw: Thank you, Michael and good morning everyone. Thank you for joining our call to discuss Lincoln Educational Services recent financial and operating performance advancement. Our financial results for the second quarter came in right as we expected from all perspectives, with half the year under our belts, we remain on target to achieve our goals and objectives for the full year. We grew student starts, graduate placements and expanded our corporate partnerships. Each of our campuses generated positive EBITDA during the quarter and we stepped up investments to ensure future growth. As we discuss our second quarter results with you today, it is important to bear in mind that this period compares with the second quarter of 2020, which was positively impacted by approximately 300 student starts delayed from Q1 2020 during the early days of COVID-19. Nevertheless, we generated a healthy 8% student start growth during the quarter. Excluding the impact of moving these 300 students into Q2 last year, our start growth would have been a healthy 19%. During the quarter, as the economy continued the reopening process, demand for our graduates by employers increased as did the placement of our graduates into well-paying positions. With the rebounding economy and slowly rebuilding supply chain, there is even more pressure building within corporate America to identify new and innovative ways to recruit, train talent to its workforce to meet growing demand. Given our proven track record of helping companies find as well as retain that talent, we are experiencing increased interest from corporations in forming partnerships to help them recruit and train personnel to help them narrow their skills gap and meet the increased demand for their goods and services. During the quarter, we continued to build our vital corporate partnerships. Daimler Trucks of North America named our South Plainfield, New Jersey and Denver campuses as two of their top schools for training and supporting students for diesel technology careers. We also expanded our Mazda program to our Columbia, Maryland campus. Our partnership with Mazda has grown over the past year despite COVID, and we are looking to expand to another campus in the near future. Mazda has developed a very comprehensive training and hiring package that addresses today’s students’ wants and needs. Besides offering a strong wage along with discounts for tools and Mazda car payments, they also provide mentors after hiring so that new technicians are assured of gaining the skills to make them more valuable to the dealership and personally more successful. On top of all that, they also provide up to $15,000 in tuition reimbursement, which means that the typical Lincoln Tech graduate working for Mazda can be debt-free in 3 years. I believe the success of the Mazda partnership as well as our other partnerships demonstrate the value proposition that Lincoln delivers. Another example of our ability to innovatively meet the needs of our partners is Lincoln’s new partnership with Kindig It Designs, which is based in Salt Lake City, Utah. Yes, you are hearing it here first. We have partnered with Dave Kindig, the star of the very successful Motor Trend TV show bitching rides. Dave, like many in this industry cannot find talent and instead of complaining about it, Dave took action Lincoln and Dave have partnered to develop a 6-week cash paymaster skills custom car fabrication program to share some of Dave’s experience with aspiring talent that is already in the industry and wants to advance their skills. The program will be offered at our Denver campus. And as soon as the State of Colorado approves the program, Dave and Lincoln will be out promoting the program. For those who may not know, Dave, many consider him to be the best designer and builder of custom retro mod cars in the world. When Dave brings a car back to life, he not only captures the nostalgia of the car, but also incorporates the latest technologies to deliver safety, performance and convenience. His cars cost well into the 6 figures if not more, and he has a multiyear waiting list. I look forward to sharing more about this program once it is approved. We expect to have our first class start in Q1 of 2022. When we show our prospective partners, the customized programs we’ve created with Kindig It, Johnson Controls, Hussmann, and the Food Processing Association and then layer on the before and after recruitment and retention results achieved through our Lincoln partnership, the case to work with us, especially in an operating environment where it’s become increasingly difficult to find motivated trained employees while that case becomes exceptionally compelling. We also continued the expansion of our existing programs during the quarter with the launch of a welding program at our Mahwah, New Jersey campus and the expansion of the welding program at our Indianapolis campus. Welding has been a big contributor to our recent growth and is now offered at 9 Lincoln campuses. We also initiated the medical assistance program at the Indianapolis campus, which we reviewed with you during last quarter’s call. It’s quite gratifying to see these new and expanded programs and partnerships take hold and become valued contributors as the countdown continues to our 75th anniversary in November. Lincoln has always provided the training required for students seeking essential and high-in-demand careers and our nimble operating structure enables our team to swiftly modify curriculums in entire courses to reflect advances in skilled trade technologies and processes at a pace that our publicly funded peers are not able to match. This structure is enabling Lincoln to react quickly to trends and employer needs as the economy reopens and the nation struggles to match a continually high unemployment rate with exceptional job opening and creation by employers. As part of our efforts to mark our 75th anniversary, we began implementing our program to increase the scholarship opportunities at Lincoln to 75 million over the next 5 years. We think it is a fitting way to celebrate our 75 years of putting students first as well as being prudent stewards of our shareholders’ investment. This increased scholarship funding is helping to lessen our students’ burden as they train for careers that should enable them to become productive contributors to our national economic well-being and growth. During the quarter, we continued to implement ways to improve the efficiencies at the campus level. Over the past several years, we have introduced a number of operating efficiencies to our campuses, which, along with enrollment growth and reduced debt cost has enabled us to generate cash flow from our operations. During the second quarter, the cash flow from operations of more than $9 million enabled Lincoln to build a cash position at quarter’s end of $33 million. We anticipate putting some of this cash to work to execute our internal growth strategies. For example, we are planning for our first new campus in over a decade. We have selected a market and are refining our list of locations with a goal of opening a campus before the end of next year. We also have identified five additional markets where our partners have expressed an interest in our entering, and we have determined that there are good growth prospects. At the same time, we are pursuing additional actions that would further expand our liquidity by unlocking value in our owned real estate and virtually eliminate our debt through non-dilutive transactions. These transactions would fund new program and campus development and provide additional financial strength to weather any potential interruptions to our operations like we experienced in March of 2020 due to COVID. Once completed, these actions in our current operating trends put Lincoln into an excellent position to meet the training and skill development needs of our corporate partners and our students for another 75 years. We entered the second half of 2021 with great momentum and expect to be able to announce a number of initiatives before the end of the third quarter. As we look out over the remainder of 2021, the only challenge I see is our expected decline in student starts for Q3. As we mentioned during our last call with investors back in May that pandemic shut down our high school campuses in most of our markets, which resulted in denying us in-person access to high school graduates considering this type of education. As a result, we had fewer high school enrollments, and that is why our start guidance appeared low to many of you, especially given the strength in our first quarter. Now that the quarter is underway, our forecast for fewer high school starts is materializing. Again, this decrease has already been factored into our guidance, and so nothing changes there. However, the team has disappointed to interrupt their 14 quarters of growth, but we expect to return to growth in Q4. As we get into the fall, we do expect to pursue in-person high school campus recruitment efforts, combined with our exceptional track record, we expect that our in-person efforts and our new market initiatives directed to this target market will turn the high school graduate student starts positive in 2022. Our graduates continue to be in high demand, if not even higher demand than in the past. While businesses adjusted to the pandemic by scaling back on hiring, our graduate placement is now running ahead of last year, and we expect to be at 2019’s record level in the coming quarters. In short, we had a very productive quarter, and we are confident that we will achieve our guidance for the full year. In just a moment, Brian will provide more details. Just as we have been productive, so as our Board, our Board of Directors has been quite active and helpful in guiding us through the unique and unprecedented operating environment of the past 1.5 years. The Board has been making a very focused effort at increasing the scope and diversity of our Board during the same period. One result of that effort is the announcement today of a new Board member, Felecia Pryor, who is the Chief Human Resource Officer of BorgWarner, a 50,000 employee worldwide manufacturing company serving the automotive market. We believe that Ms. Pryor’s experience and success at BorgWarner will be beneficial to Lincoln’s ongoing development and we look forward to working with her. Now I’d like to turn the call over to Brian for a review of our second quarter results and updated guidance. Brian?
Brian Meyers: Thanks, Scott. Good morning and thank you for joining us. As Scott has mentioned, Lincoln had a very solid second quarter. To start, I’ll share the top five financial highlights as a quick overview of the quarter. Our average population for the quarter increased 16.3% or approximately 1,700 students net of students on leave of absent due to COVID-19 which will be discussed shortly. Our stock growth was 19.1% when adjusted for the shift in some 300 student starts scheduled for last year’s first quarter to the second quarter. Our stock growth stands at 18% through the first 6 months of the year, building on the prior 3 years of stock growth that the company has achieved. Third, adjusted EBITDA improved 81% to $6.1 million. We generated cash flow from operations of $9.4 million during the quarter, which increased our available liquidity to $54 million from $32.5 million in the prior year quarter. And lastly, our revenue increased by nearly 30% to $80.5 million. All of these metrics are indicators of our solid financial position and successful operation. As a result of better than expected financial performance during the second quarter, I am pleased to report that we are refining our previously raised 2020 guidance to increase the low-end estimates for revenue, adjusted EBITDA and pretax income. I will provide more details on these – on this after my review of the second quarter. The 2020 financial results reflect the significant impact from the COVID-19 pandemic, which started in March last year. As a result, certain financial and operational comparison for the quarter compared to the year may be outsized. Beginning with our solid top line results, revenue for the quarter was $80.5 million, up $18 million or 28.8% over the prior year quarter. This was mainly driven by the 16.3% increase in average student population in addition to the normalization of the revenue stream driven by the return to in-person instruction at all our campuses in the current year. The increase in average student population as of March 30, 2021, is net of approximately 60 students of leave of absences or LOAs mainly due to a lack of externship sites for our health care students as a direct result of COVID-19. Last year, our average population for the second quarter was impacted by more than 800 students on leave of absence at the end of July. The number of students classified on COVID live absent had dropped significantly to below 10 students, and we are thrilled to almost 100% of our student population has once again actively engaged in completing their studies. During the quarter, we enrolled over 3,700 new student starts across our campuses. This represents a 19.1% increase over prior year upon removing approximately 300 students who do delay their start dates from the first quarter to the second quarter of 2020 due to the impact of COVID. The unadjusted stock growth rate was 8% over the prior year quarter. Our ending student population was up 11% or approximately 1,300 students when compared to the prior year. These students, again, are net of students that were classified in a leave of absence as a result of COVID-19. This metric is of specific importance as increases as ending student population will continue to drive revenue growth during the second half of the year. Now, turning to our combined operating expenses for the Transportation and Health Care segment during the quarter, education services and facility expenses increased $7.5 million or 28.4% to $33.7 million. The increases were primarily concentrated in instructional expenses and books and tools due to increases in our student population in combination with the shift in our structural environment as we went from an all-remote curriculum in Q2 2020 to a hybrid model in Q2 2021. Furthermore, facility expenses increased from prior year due to last year’s nonrecurring savings, including rent reductions from – rent reductions that were realized in 2020, driven by the temporary campus closures as a result of COVID-19. Selling, general and administrative expenses increased $3.8 million or 13.3% to $32.5 million. The additional expenses were primarily driven by continued growth in our student population and in addition to the normalization of operating expenses in the current year as students and staff return to our campuses that were fully remote last year during the second quarter. Also contributing to this year’s increases are higher expenses reflected of the improved business climate as the country continues to reopen. Corporate expenses for the quarter increased to $10.8 million from $6.4 million in the prior year. The additional expenses quarter-over-quarter was driven by several factors, including the normalization of operating expenses, as mentioned previously, in addition to a $1.5 million increase in incentive compensation tied directly to improved financial performance. In regards to our bottom line, our consolidated operating income for the quarter improved by $2.3 million to $3.5 million compared to $1.2 million reported in Q2 2020. Adjusted EBITDA increased to $6.1 million during the quarter from $3.4 million in the prior year comparable period. The increase over prior year is primarily driven by our almost 30% revenue growth. As a reminder, adjusted EBITDA is calculated as EBITDA plus the add-back of non-stock compensation expense. Our income tax provision for the second quarter was $700,000 or a 23.1% effective tax rate compared to less than $100,000 last year. A year ago, deferred taxes were under a full valuation allowance, resulting in only minimal state taxes. With the release of the valuation allowance in Q4 2020, we now report federal tax expense. We do expect to utilize our federal NOLs of $43 million and our state NOLs of $77 million to offset taxable income in 2021. As a result, we do not anticipate paying any federal income taxes in only nominal state income taxes for the year. For the remainder of the year, we anticipate that our effective tax rate will be approximately 27%. And following net income tripled to $2.4 million in the current quarter compared to $800,000 in the prior year. Now I’d like to turn to the balance sheet highlights, followed by our refined 2021 guidance. First, as a reminder, in the prior year, we had $14.5 million of undistributed CARES Act funds on our balance sheet, consisting of $11.8 million in cash and cash equivalents, an additional $2.6 million in restricted cash. However, for comparison purposes, the following balance sheet comparisons at quarter end exclude the CARES Act funds received in the prior year. We are pleased with the cash flow from operations during the quarter, which more than doubled to $9.4 million from $3.9 million. The company’s total liquidity increased substantially 66% to $54 million, made up of $33 million in cash and cash equivalents and $21 million in availability under our current credit facility. We had a net cash balance of $16.7 million for the quarter compared to a net debt balance of $6.6 million at June 30, 2020. To clarify, our net debt and our net cash is calculated using our cash and cash equivalents balance less both short-term and long-term portion of our credit facility, excluding the CARES Act funds from the prior year. These financial results help provide the capital resources to execute Lincoln’s growth plans while providing greater financial stability. Finally, as mentioned previously, with better than expected financial performance through the first half of the year, we are refining the low end of estimates for revenue, pre-tax income and adjusted EBITDA to match our improved financial position. Annual revenue growth is now expected to be between 9% and 12%, with previously refined guidance ranging from 7% and 12%. Pre-tax income is now expected to be between $24 million and $27 million for the year. This represents a $2 million increase on previously provided low-end guidance. And adjusted EBITDA is now expected to be between $34 million and $37 million, also representing a $2 million increase on previously provided low-end guidance. Student starts continue to be projected between 5% and 10%. And finally, we continue to expect our capital expenditure to be approximately 17 – I am sorry, approximately $7.5 million. We look forward to communicating our progress towards achieving these goals for the remainder of 2021 with you. Before I go, I would like to take a moment to thank the entire Lincoln team, including our students for their continued hard work and dedication, which continues to be a major factor behind our success. I would also like to thank all of you for your time today. And with that, I will turn the call back over to the operator so we can take your questions. Operator?
Operator:  Your first question comes from the line of Steven Frankel with Colliers.
Steven Frankel: Good morning, Scott. Thank you for letting me ask a question. Digging into the pipeline around adult starts, I know you have made these comments on the high school population, but what are the – what is the adult side of the equation look like? And when does the pipeline out to Q4?
Scott Shaw: Sure. Well, we continue to get more interest than we’ve had in the prior year. And so the adult is definitely performing obviously, given where we’re coming out with high schools much more strongly. Adult starts for Q3, though, I would say, would probably be around flat to low digits. And then as we look out to Q4, as I mentioned, we see growth again given the pipeline.
Steven Frankel: And do you think that’s just a timing issue that has them only up flattish to single digits year-on-year? What do you think contributes to that?
Scott Shaw: Sure. I think there are a number of issues. Some of our operational issues on our side, just making sure that we have all the faculty for all the classes that we want to operate. Some of it is timing of class starts. But as I said, the interest is still there. We’re still seeing good, strong interest at a higher level than last year. So again, I’m just – I would expect that it is a lot of timing that’s affecting our starts.
Steven Frankel: Okay. And what is the spike in the delta variant doing to starts and externships on the healthcare side, specifically?
Scott Shaw: Yes. I mean the changes that keep happening are frustrating at times. And certainly, since we’re in 14 different states, we have to look at 14 different ways of how we address the situation. And every day, new rules and regs come out. And so to date, I mean, since this is all relatively new, I mean, as Brian mentioned, our LOAs have dropped almost down to nothing. So we’ve been able to get the students back into the externships. But recent rules have just come down where maybe our students may be required to be vaccinated in order to go into those externships. That’s just something I saw, for example, in Rhode Island just last week. So to date, it hasn’t affected it, but I’m guessing there will be more restrictions, which could lead to some delay in those externships, but as of today, I don’t see it happening.
Steven Frankel: Okay. And then on the cost side, Brian, what’s normalized year-over-year expense growth for the back half that’s baked into your guidance here?
Brian Meyers: Right. So – for over prior year, I would say for Q3, it will be slightly up due to some of our initiatives. In Q4, we will be similar to our Q4 of last year.
Steven Frankel: Okay. And then lastly, Scott, maybe a little more color around this new campus and what you might offer there? Would you be offering any new programs or anything slightly different as you build it?
Scott Shaw: Sorry, Steve, when I think slightly up, for Q3, we will be up based on our population. So we are projected to be up almost over prior year, several million dollars, but a lot of it is due to our continued growth in our population and some as far as instructional. What I was mentioning was more of a normalization so we are looking to be up approximately $5 million over last year, and some of it is that corporate $1 million due to our – some of our initiatives that you’ll be hearing but it will be up. And in Q4, it starts getting a little bit normalized it will be slightly up in Q4 and mostly on the educational facility side.
Steven Frankel: Thank you for the clarification.
Scott Shaw: So answering your question on the new campus, so the new campus is basically going to be most likely with an automotive and skilled trades and then we will probably have one, if not two healthcare programs in that campus. That way we attract the full range of potential people within a local market. And we’re seeing great success with having healthcare programs, frankly, also in our automotive schools. And given the fact that we’re moving to a blended format going forward, we are looking at being able to build a campus that’s more efficient, better utilization of space. And so it will have a smaller footprint than what our typical campus would have today with those same number of programs.
Steven Frankel: Great. Thank you.
Scott Shaw: No problem, Steve. Thanks for your questions.
Operator: Your next question comes from the line of Austin Moldow with Canaccord.
Austin Moldow: Hi, thanks for taking my questions. In regards to your corporate partnerships. Are these partnerships like with Mazda and Kindig, are they incremental class starts?
Scott Shaw: Yes. Well, the Kindig thing won’t be counted as a start because the program is so short, most likely. I mean it’s only a 6-week program. We’re still working on the how that will roll out. But what’s exciting about the Kindig program is a number of things. One, it will bring greater visibility to our overall collision program. Two, it is a cash program. And so whatever we can do to diversify away from Title 4 is incrementally better for us. And three, we think that working with Dave, he’s a very creative individual, this could lead to other opportunities down the road. As far as Mazda, the attraction there is it’s like all of our OEM relationships. We do think it helps build the brand. We do believe it helps attract students. And however, the reality is that a lot of these students really understand the value proposition of these partnerships once they are with us. And so it really adds – gives them a greater job prospect at the end of the day, to be honest with you, these partnerships. So it’s all positive. It’s all incremental. It all helps the bottom line. And we’re very pleased and honored that these companies come to us because it does provide great career opportunities for the students.
Austin Moldow: Got it. And can you talk about the remaining capacity at your existing campuses to add programs? Like I’m kind of curious how many that have the automotive programs might you be open to your adding the healthcare programs to and then vice-versa?
Scott Shaw: Sure. We’ve been adding about four to five programs a year over the last couple of years, and I would anticipate we’d be able to do that over the next 2 years with programs. And then as we move to our blended program, which will be fully rolled out in 24 months that should enable us to maybe have the additional capacity at some of these campuses. I mean certainly, an automotive program isn’t something we’d be looking to expand at other campuses simply because of the footprint is too great, but adding healthcare programs are of certain skilled trades programs at additional campuses is very much – is more doable, I should say.
Austin Moldow: Okay, thanks very much.
Scott Shaw: No problem, Austin. Look forward to chatting with you later in the week.
Operator: Your next question comes from the line of Raj Sharma with B. Riley.
Raj Sharma: Hi, good morning guys. Great quarter. I wanted to get a little bit more color on the starts and understand that better. What is – or could you talk about the makeup of your starts in terms of high school – the high schoolers and adults and any other sort of class? And if you could talk about how the marketing sort of was prevented in high schoolers? But then I don’t quite understand the process for the adults, if there is any digital marketing by the starts are being guided to flat 2% or 3% in Q2?
Scott Shaw: Yes. No problem. So in total – so in total, high school represents about 20% of our starts and about 60% of those high school starts come in the third quarter. And so what we do is we have our guidance counselors going out to the high schools, speaking to classes, so they actually have started that process, frankly, this month for next year’s class, they go around and get the leads and then we know what kind of level of interest we are having for that program. And so we knew that there was some softness in that program, frankly, 6 months ago, which is why we provided the guidance that we did. And we just weren’t quite sure how it all would play out given COVID in all the various states. As it’s playing out, we will be down in our high school marketplace this year, but again, that’s really a function of the fact that we couldn’t get into as many high schools as we had in the past, and therefore get in front of us many students. And once that turns around, which we anticipate it will, in 2022 as well as some additional initiatives, we would anticipate being able to grow the high school market again. On the adult side, it’s basically about a 60-day window from the – by the time an adult typically reaches out to us and then starts with us. And as I said, enrollments or leads from these adults have been increasing year-over-year, quarter-over-quarter and some of the timing issues of when the classes are starting as well as some of the challenges we’ve had in just making sure we have the faculty for each of these classes is slowing down our growth slightly in Q3. But again, as we look to Q4, given what we’re seeing, we expect to be back to the growth mode again.
Raj Sharma: Great, thanks. And then on the new campus, you already talked about the courses that have been offered. Any sort of indication on the region or – and also the class size? And what kind of CapEx are you targeting?
Scott Shaw: Sure. All I can say is that it’s not in the state that we serve today. So it will be our 15th state that we’re entering. And then as far as the CapEx size, it somewhat depends on what we’re able to get the landlord to fund. But I would say it’d be somewhere around, would you say, Brian, $10 million of expense for a campus that should be able to generate for us $15 million to $20 million in revenue.
Raj Sharma: Got it. And then you also mentioned the real estate transaction. Could you give some color around that?
Scott Shaw: Sure. I don’t want to jinx that, but all I can say is that there is lots of interest in real estate financings these days. We have properties that we’ve talked about before that we own and we’ve been very pleased with the potential opportunity to, I’ll say, monetize those properties in a very productive way for us.
Raj Sharma: Right. I just wanted to get a sense of the market value of these properties that we might be sort of consider it?
Scott Shaw: Well, as we’ve shown and said that they are on the books for $30 million and they were appraised at $60 million. So I can tell you that it’s – to give you more than enough information.
Brian Meyers: Yes. Something should be coming out during Q3 that will be publicly coming out, we’re anticipating it very shortly.
Raj Sharma: Got it. And then lastly, any sort of non-matching number of starts for 3Q or is it apples-to-apples comparison for – in terms of start dates?
Scott Shaw: It’s pretty comparable. Nothing – I would say nothing too material a few here or there.
Raj Sharma: Got it. Thank you for answering my questions again. Congratulations on a good quarter. I will take this offline.
Scott Shaw: Thank you. Appreciate that very much.
Operator:  And your next question comes from the line of Justyn Putnam with Talanta Investment Group.
Justyn Putnam: Hi, good morning.
Scott Shaw: Good morning, Justyn.
Brian Meyers: Good morning, Justyn.
Justyn Putnam: Hey, I was just curious if we could get maybe a little more clarity or perspective on the high school start dynamic? I mean, first of all, can you kind of quantify maybe the shortfall in 3Q, either in percentage or number of students as compared to maybe what you see as the more normal year?
Scott Shaw: Sure. No problem. We expect to be down around 400 students or so as a round number.
Justyn Putnam: So as you move through this kind of really unusual period here, you look maybe in 2022 and beyond, do you feel like – you said you feel like you can grow the high school population, but I just want to clarify that above of this low base? Or is this kind of growth you can pick up in addition to kind of this unusual year here with the 400 shortfall?
Scott Shaw: No, I think that was in addition to that, I think that we have definitely more opportunities in the high schools. And I think as more and more high schoolers and their parents look at the value proposition of college that should bode well for us that more people are going to consider alternative ways to get into the workforce at a cheaper, faster pace, and we certainly offer that. So I see definitely growth opportunities for us in the high school market in 2022 and beyond.
Justyn Putnam: Okay. Then the other side of the equation is back to your adult operation. I know you’ve talked a little bit about this, but that too was also impacted by a very unusual period, unusual year, 1.5 years. And you talked about how you see that come evolving through the course of this year? But how does that look as you look further in 2022 and beyond with that kind of normalizes? Historically the company has obviously benefited from these higher unemployment periods, and now that’s kind of come down a little bit, not quite as much of a tailwind, but there is a lot of underlying dynamics that go with that, such as this employers have not been able to meet their employee demand and so forth. So I was just curious how you see that playing out over more normalized periods, 2022 and beyond?
Scott Shaw: Sure. Well, I’m very confident in our ability to grow going forward simply because of some of the dynamics that you highlighted. I mean again, we were pre pandemic when unemployment was at a 50-year low, we were able to grow. And I don’t anticipate that that changes post-pandemic. The employers that could – are coming to us are really just faced by this massive challenge of finding people. We obviously have spoken about before, how there is fewer people in the high schools learning about tech programs. I think that during the Great Recession, a lot of companies eliminated their training programs and got frankly, too far away from that. I mean, the solution for industry going forward is definitely going to be a partnership, I believe, with people like us, where we help, retain and bring in students given the skills and then work with companies to get them placed. And I think that’s also true for the adult market. So I really see, frankly, with each passing week, more and more opportunities for Lincoln going forward than less. And yes, sure, there might be some variability quarter-to-quarter, but things remain extremely positive in my mind for what our opportunities are going forward.
Justyn Putnam: Okay. I asked that question also, it’s been an unusual year, but also for us longer term investors in the industry. We’ve seen the countercyclical nature of this industry, and I know every economic period is different, but I was just curious to your thoughts on how that is evolving in this currently?
Scott Shaw: Yes. And I think that’s what is different going forward is there is so much more talk today about infrastructure, the need for infrastructure. And as I mentioned before, people just questioning the value of college that every cycle is a little bit different. And the good news, I believe, for us is that so many of those differences are pointing to ways for Lincoln to capture more opportunity rather than less going forward.
Justyn Putnam: Okay, great. Well, thanks for that perspective.
Scott Shaw: No problem. Thanks, Justyn.
Operator:  At this time, I’m currently showing no further questions in queue. I will now hand the conference back over to Mr. Scott Shaw.
Scott Shaw: Thank you, operator. As always, I want to thank our shareholders for your continued interest and support. I also want to thank all of our faculty and staff for their unrelenting dedication to our students, many of whom have faced great adversity due to the pandemic. I am very proud of the Lincoln Tech family. I am always uplifted by their stories of changing lives no matter the challenges or adversity our students face. We had an excellent first half of the year and remain on track to achieve our goals. We are excited about the future and its potential as we continue to implement growth strategies and make the investments needed to expand opportunities for both our students and our shareholders in the years ahead. I believe we have a unique story to tell, and as such, we will be participating at several conferences in the next few weeks, including the Canaccord Annual Growth Conference being held this week as well as the Barrington Fall Investor Conference and Colliers Institutional Investor Conference, which are being held on September 9. Brian and I look forward to sharing our 2021 third quarter results with you in November. Until then, please stay safe. Bye-bye.
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s conference call. You may now disconnect.